Operator: Good afternoon, and thank you for standing by. Welcome to Western Digital's Fiscal Fourth Quarter 2021 Analyst Call. Personally all participants are in a listen-only mode. We will open the lines up for questions shortly.  Now I will turn the call over to Mr. Peter Andrew. You may begin.
Peter Andrew: Thank you, and good afternoon, everyone. Joining me today are David Goeckeler, Chief Executive Officer; and Bob Eulau, Chief Financial Officer. Before we begin, let me remind everyone that today's discussion contains forward-looking statements, including product portfolio expectations, business plans, trends and financial outlook based on management's current assumptions and expectations, and as such, does include risks and uncertainties. We assume no obligation to update these statements. Please refer to our most recent report on Form 10-K filed with the SEC for more information on the risks and uncertainties that could cause actual results to differ materially. We will also make references to non-GAAP financial measures today. Reconciliations between the non-GAAP and comparable GAAP financial measures are included in the press release and other materials that are being posted in the Investor Relations section of our website. With that, I'll now turn the call over to David for his introductory comments.
David Goeckeler: Thank you, Peter. Good afternoon, everyone, and thanks for joining the call to discuss our fourth quarter and fiscal year 2021 results. We reported solid fourth quarter results with revenue of $4.9 billion, non-GAAP gross margin of 33% and non-GAAP earnings per share of $2.16, all above the guidance ranges we provided in April. The upside was primarily driven by record demand for our capacity enterprise hard drives. Fiscal year 2021 revenue totaled $16.9 billion and we reported non-GAAP earnings per share of $04.55. Last March I joined Western Digital with a strong conviction in the digital transformation that is reshaping every industry, every company, and every person's day-to-day life. At that time, we were in the early stages of the pandemic. Today the accelerated digital transformation that has occurred during this period has created a world that is more technology enabled and technology dependent than ever before. The increasing value and importance of data is undeniable and Western Digital will continue to capitalize on this opportunity as the only provider of both flash and hard drive solutions. Our ability to provide this diverse range of technologies enables us to drive innovation from endpoints to the edge to the cloud and combined with our commitment to delivering the highest quality products, is ultimately what sets us apart and allows us to deliver strong results. As we reflect on this fiscal year, I'm very proud of what Western Digital has accomplished, particularly in light of the fact that the pandemic impacted various aspects of our company and the supply chain. As a team we made the changes throughout the year necessary to improve our focus, sharpen execution, and layout the right strategic goals to place Western Digital in a position of greater strength. To achieve these goals we created separate business units for our flash and HDD technologies, led by two widely respected technology leaders. As a result of this renewed focus, we accelerated our innovation roadmap, built momentum in our energy-assisted hard drives and continue to successfully ramp our second generation NVMe enterprise SSDs, while working hard to complete additional customer qualifications. We were also able to successfully navigate through the pandemic and capitalize on opportunities and continue providing dependable industry-leading products that are the cornerstones of the data economy. We continue to believe that we have the right foundation for success, the right market-leading products, the right customer base and the unique ability to address two large and growing markets. That foundation continues to underpin the strength of our results and is propelling the business forward today, even as we manage through some of the lingering impacts from COVID. And while we saw incremental demand due to the emergence of Chia, our standout performance this quarter was primarily attributable to increasing demand from our cloud customers and the beginning of a recovery in enterprise demand. The breadth and quality of our product line and our many routes to market, we feel we are well positioned to capitalize on the large and growing opportunities in front of us. With that, I'll now provide a recap of our flash and HDD businesses as it relates to our fourth quarter results. In the fourth quarter demand for our flash products was greater than we could supply in a number of end markets. In the face of both component and NAND shortages, we continue to strategically shift bits to meet customer needs while driving growth in both revenue and gross margin. Within data center devices and solutions demand for our NVMe enterprise SSDs came in above our expectations, achieving strong quarter-over-quarter revenue growth, we are pleased with our progress in enterprise SSDs as we completed the qualification of another cloud Titan and are ramping the product more broadly. Within client SSD we experienced revenue growth as demand remained strong for notebooks and Chromebooks. This remains a large growing an important end market for Western Digital across our OEM channel and retail routes to market. Within gaming, demand from the latest generation of game consoles, and our WD Black product line was robust as gamers continued to prefer our expanding lineup of customized solutions. Within embedded flash, we also experienced growth in smart home devices, VR, automotive and industrial. As the BiCS5 ramp picks up and we achieve bit crossover late this year, we expect to see increased bit growth. To-date BiCS5 is our most capital efficient node in the 3D era and the ramp across our product lines will contribute to profitable growth. We have had incredible success with BiCS4 from across cost and bit growth perspective and look forward to experience those same benefits with BiCS5 highlighting once again the successful and important partnership we have with Kioxia. In HDD we had our highest organic sequential revenue growth in the last decade, driven by the successful ramp of our 18-terabyte energy-assisted hard drive, growing cloud demand, a recovery in enterprise spending, and to a lesser extent crypto currency driven by Chia. This impressive performance is a reflection of our data center customers confidence in our innovation engine for capacity enterprise hard drives. Shipments for our 18teribyte hard drive nearly tripled sequentially, highlighting our leadership in the latest capacity point and the leading edge energy-assist technology underpinning it. These drives are fully commercialized we expect the 18 terabyte hard drive to be the workhorse for the fiscal year. I'm excited to announce a record shipment of over 104 exabytes in capacity enterprise hard drives, a 49% increase sequentially. This is a significant achievement for the business as we have all of our largest customers qualified and are well into ramping our energy-assisted hard drives. In addition, client demand for desktop and smart video has been strong throughout the quarter due to improving OEM demand. While we are actively managing supply constraints, we expect strength in OEM to continue in the fiscal first quarter. Within retail HDD demand was above expectations as we saw consumer interest grow for both at home HDD storage and for smart video applications. There was also increased demand for hard drives due to Proof-of-space crypto currencies such as Chia, which emerged as a new vertical market at the beginning of the quarter. We believe Proof-of-space crypto currency presents a great opportunity for us in the industry, but we are closely monitoring the sustainability of demand. Looking ahead, we strongly believe the fundamental technology shift that I referenced earlier is a sustainable trend. At the center of this innovation are ever-increasing intelligent devices which are fueling exponential industry-wide growth in demand, all powered by the cloud. The ability to harness the data in both the device and in the data center is critical, highlighting the importance of our full range of storage solutions. Moreover, we believe we have the right portfolio to enable us to capture these opportunities. In particular, and as Dr. Siva Sivaram, President of Technology and Strategy discussed in a webcast on July 15, Western Digital's unique ability to deliver both HDD and flash solutions drives meaningful synergies across the business in four key areas; market, manufacturing, technology and customer. And our new operating structure gives us the focus we need to capture our full potential. While we remain optimistic, there are several factors we are closely monitoring. Most importantly, we are actively managing the continued impact of the pandemic. The disruptions to the supply chain have presented a challenge across the industry and we continue to see shortages of certain components. Additionally, logistics remain a challenge as different geographies are in various stages of reopening. This has been a major contributor to increase lead times and may pose challenges in the future. As a result of the supply disruptions, logistics challenges and increased lead times, we continue to face additional cost pressures. Despite these obstacles, we are working diligently to continue delivering to our customers while maintaining a disciplined approach to pricing. I'll now turn the call over to Bob, to share details on our financial results.
Robert Eulau: Thank you and good afternoon everyone. As Dave mentioned, overall results for the fiscal fourth quarter were above the upper end of the guidance ranges provided in April. Total revenue for the quarter was $4.9 billion, up 19% sequentially and up 15% year-over-year. Non-GAAP earnings per share was $2.16. For the full fiscal year revenue was $16.9 billion, up 1% from fiscal 2020 and non-GAAP EPS was $4.55, up 50% from last year. Looking at our end markets, Client Devices revenue was $2.2 billion, up 8% sequentially and up 13% year-over-year. On a sequential basis, we experienced revenue growth in both hard drives and flash and across every major product category; client HDDs, client SSDs, automotive, gaming, smart video and industrial. Mobile revenue was essentially flat on a sequential basis. Moving on to Data Center Devices and Solutions, revenue was $1.8 billion, up 44% sequentially and up 6% from a year ago. New product ramps in this end market drove more than double the revenue growth from just two quarters ago. Revenue generated from our latest generation energy-assisted hard drives and enterprises SSDs contributed to the growth. Our capacity enterprise hard drives grew 49% sequentially and our enterprise SSDs grew 39% sequentially. Demand for our 18-terabyte energy-assisted hard drives was particularly strong, comprising nearly half of our capacity enterprise exabytes shipments. Finally, Client Solutions revenue was $977 million, up 10% sequentially and up 42% from a year ago. Once again revenue growth was broad based across both HDD and flash and all major product categories. Turning to revenue by technology, flash revenue was $2.4 billion, up 11% sequentially and up 8% year-over-year. Flash ASPs were up 7% sequentially on a blended basis and up 4% on a like-for-like basis. Flash bit shipments increased 4% sequentially. Hard drive revenue was $2.5 billion, up 28% sequentially and up 22% year-over-year. On a sequential basis, total hard drive exabyte shipments increased 34%, while the average price per hard drive increased 18% to $97. As we move to costs and expenses, please note that my comments will be related to non-GAAP results unless stated otherwise. Gross margin for the fourth quarter was 32.9%, up 5.2 percentage points sequentially. This was above the upper end of the guidance range provided in April. Our broad routes to market and ability to proactively ship bits to the most attractive end markets enabled us to expand our gross margin by 5.5 percentage points sequentially to 35.5%. Our hard drive gross margin was 30.3% up 5.3 percentage points sequentially. This also includes a COVID-related impact of $32 million or approximately $1.3 percentage points. Operating expenses were $790 million within our guidance range. Operating income was $828 million representing 101% increase from the prior quarter and a 57% increase year-over-year. With our improving profitability, our tax rate in the fiscal fourth quarter was 9.2% and the tax rate was 13.4% for fiscal year 2021. Earnings per share was $2.16. Operating cash flow for the fourth quarter was $994 million and free cash flow was $792 million. Capital expenditures, which include the purchase of property, plant and equipment, and activity related to our flash joint ventures on our cash flow statement was an outflow of $202 million. We expect growth CapEx for the next fiscal year to be approximately $3 billion and cash CapEx to be around $2 billion. In the fiscal fourth quarter we paid off $212 million in debt, including a discretionary debt payment of $150 million. For the full fiscal year we paid down a total of $886 million. Our gross debt outstanding was $8.8 billion at the end of the fiscal quarter. Additionally, we have already made a discretionary debt payment of $150 million in the fiscal first quarter. Our adjusted EBITDA as defined in our credit agreement was $3.6 billion, resulting in a gross leverage ratio of 2.4 times compared to 2.8 a year ago. As a reminder, our credit agreement includes $1 billion in depreciation add back associated with the joint ventures. This is not reflected in our cash flow statement. Please refer to the earnings presentation on the investor relations website for further details. Our liquidity position continues to be strong. At the end of the quarter, we had $3.4 billion in cash and cash equivalents. In addition, we have unused revolver capacity of $2.25 billion. Moving on to our outlook, our fiscal first quarter non-GAAP guidance is as follows; we expect revenue to be in the range of $4.9 billion to $5.1 billion. We expect gross margin to be between 33% and 35%. We expect hard drive gross margin to be relatively flat and we expect flash gross margin to improve sequentially. We expect operating expenses to be between $755 million and $785 million. Interest and other expense is expected to be approximately $70 million. The tax rate is expected to be between 11% and 12% in the fiscal first quarter and the fiscal year. We expect earnings per share to between $2.25 and $2.55 in the first quarter assuming approximately $317 million fully diluted shares outstanding. I’ll now turn the call back over to Dave.
David Goeckeler: Thanks Bob. As we close out fiscal year 2021, I am very pleased with how the Western Digital team successfully navigated dynamic market conditions brought on by the pandemic. While it has been a challenging time for all, we will continue to focus on driving innovation. When you combine the ramp of new innovation products into two very large and growing markets with our newly adapted organization structure, I am confident that our increased focus on execution will continue to propel us forward as the market leaders. Our diverse technology portfolio is the foundation of the data economy and our unique ability to see the entire storage market enables us to move across the technology landscape to meet customers' needs and be the solution for their evolving storage challenges. With careful consideration of the health and safety of our employees, we are also keeping a close eye on the status of COVID-19. In particular, there are certain parts of Asia seeing a spike in cases and we are working diligently to support our employees through this time. While it is a difficult situation, we will continue to navigate the complexities presented by the pandemic while we drive innovation for customers and value for shareholders. Let’s begin the Q&A session.
Operator:  We have a question from Joe Moore from Morgan Stanley. Please go ahead.
Joseph Moore: Great, thank you. I wonder if you could talk about the tightness in NAND that you referenced, to what degree is that a NAND issue versus controllers and kind of other components trickle  into NAND products?
David Goeckeler: Hey Joe, good to hear from you. So, it's both. There’s no doubt there is shortage in controllers and I think what we are doing is mixing the portfolio to get the most out of the controllers we have, also a shortage of NAND as well. So I mean, we're mixing to get the best result we can, but there’s more demand than we are able to satisfy on the NAND side. So, it’s really, we are juggling both and balancing them to get the best result we can.
Joseph Moore: Okay and as, you guide for the September quarter is the assumption that you’re still kind of supply constrained for the whole quarter?
David Goeckeler: Yes, we are still juggling both of those things. Right? We have customers looking for upside, we are juggling that. Mixes is a little different from quarter to quarter as well. So yes, when you roll all that together is how you to get -- get to where we are at in Q1.
Joseph Moore: Great, thank you very much.
David Goeckeler: Sure thing.
Operator: Thank you. We have a question from Aaron Rakers from Wells Fargo.
Aaron Rakers: Yes, thanks for taking the question and congratulations from the solid results. I want to ask about the hard disc drives, the 49% sequential growth in your year line capacity shift and I’m curious that, how are you thinking about the sustainability of that demand? I think last quarter you talked a little bit about longer term purchase agreement, and then if you can underneath of that also any thoughts of how significant Chia was as far as a contribution this last quarter? Thank you.
David Goeckeler: Yes, thanks, Aaron. So we did see very, very strong demand from the cloud and I think the product has been very well received. As we've talked about energy-assist is fully commercialized now. We saw very strong sequential growth of the AT&T product. We continue to see strong growth in the second half, working with our customers. We expect continued growth in the business. The long-term agreements, I think we're, I think, probably the best way to think about that as we're working through the first cohort of those and we expect to talk about the second cohort in the second half, and they're becoming more and more important, because getting visibility and the demand is very important, especially going forward is where we're thinking about how to invest in additional head capacity to support the growth of the business, just the exabyte growth. Chia was, maybe one way to think about that, it was hitting us kind of right where we were on the call was, I think the first week of it last quarter, probably a couple $100 million of upside there in the quarter due to Chia.
Aaron Rakers: Thank you.
Operator: Thank you. The next question comes from C.J. Muse from Evercore.
C.J. Muse: Yes, good afternoon. Thank you for taking the question. I guess, I'm having a hard time reconciling the strong demand trends outlined here on the call with revenues only guided up 2% sequentially. So can you walk through, I guess, where you're seeing supply constraints both HDD and NAND? And are you seeing one more so than the other? And then perhaps to help us understand your, I presumed improving visibility, did your backlog grow sequentially into the June quarter and do you expect it to grow again exiting September? Thank you.
David Goeckeler: Yes, so it was an exceptional quarter on growth and there is tightness across both portfolios, there's no doubt about that. We were pushing the factories very, very hard to get every drive we could out of it, because there was demand for it. So when you look at it sequentially, we had a strong quarter and we were basically able to find sales for everything that we could produce. And, so going, so when you look at sequential growth, I guess it's not surprising that there's not a huge amount of top line growth there. But throughout the markets, we continue to, so hard drives we see strength in the cloud. We're seeing really good strength in kind of mid cap as well. It's not just at the top of the market. But on the flat side, again, we've got more customers looking for upside than we do the opposite. So the demand environment is good and we're doing the best we can to satisfy as much as they can with the components we have and with the NAND available.
Operator: Our next question comes from Toshiya Hari from Goldman Sachs.
Toshiya Hari: Hi, good afternoon. Thanks so much for taking the question and congrats on the very strong results. I had a question on NAND. I think costs in the quarter were up a little bit on a sequential basis. I realize cost downs on a quarterly basis can be very lumpy, and you're coming off a multi quarter stretch of very strong cost downs, but curious what you saw in the quarter from a cost perspective in NAND. And I think in your prepared remarks, Dave, you talked about, your expectations for BiCS4, BiCS5 I'm sorry, being similar to the BiCS4 the ramp, BiCS5 over the next 12 months. If you can kind of set expectations and how we should think about cost downs as you make that transition that will be super helpful? Thank you.
Robert Eulau: Hey, Toshiya, it's Bob. So in terms of the cost takedowns, we actually looked at it mostly year-over-year, and we were a little bit ahead of the 15% goal we have for year-over-year cost declines and continue to feel good about 15% as the long-term goal. We are starting the nodal transition. We did this past quarter to BiCS5 and we'll continue to ramp that hard through the second half. As Dave mentioned, we expect to get the crossover in the fourth calendar quarter. So I think in terms of costs, I think we're in a good place.
Toshiya Hari: Thank you.
Operator: Thank you. The next question comes from Karl Ackerman from Cowen.
Karl Ackerman: Yes, good afternoon, gentlemen. I know forecasting ASPS is difficult, but your implied outlook seems to suggest a decline in hard drive pricing, similar with what you saw last year. And I was wondering, should we assume that your assumption for hard drive gross margins is driven by less favorable mix of retail draws? And as you address that question, could you discuss the mix of long-term agreements you have in place today for nearline drives, and whether those are negotiated both on price and volume or just volume? Thank you.
Robert Eulau: Hi, Karl, it's Bob. I'll start and then Dave can add in. But in terms of the guide on hard drives, we aren't actually guiding specifically by segment. We had really good gross margins on hard drives this quarter above 30% and we're expecting our gross margins to be above 30%, again in Q1 so we feel good about that. And, as we've said, we really want to continue to improve from here. We're going to be very judicious in terms of how we add capacity, because we want to continue to improve our margins over time.
David Goeckeler: Yes, Karl and the long term agreements, we kind of think about those as setting a baseline for volume and price. It doesn't mean that's going to be everything that goes into a certain customer, but it sets a baseline and gives us some visibility over multiple quarters. Like I said, we're kind of working our way through the first cohort of those, and we'll be looking at the second ones in the second half of the year. As I said, I do think they're becoming more important to give us the visibility we need on demand to make sure we make the right investments to support the exabyte growth.
Karl Ackerman: Thank you.
Peter Andrew: Hilda, can we get the next question, please?
Operator: Thank you. The next question comes from Mehdi Hosseini from SIG.
Mehdi Hosseini: Yes, thanks for taking my question, and the first one is for David. Over the past few quarters, you have exceeded your guide by 40%, 50% and I understand there is the supply chain disruption and you want to be prudent. But there's perhaps, there is also some level of conservatism that goes into your guide. And then for Bob, I understand exabyte shipment is improving to September quarter, but I do understand is why is gross margin guidance flattish? Thank you.
David Goeckeler: Yes, I mean, there's always some natural conservatism, I think in anything we do. But we also, you know, there's a fair amount of leverage in the model in this quarter we saw when we overachieved on the top line and we get benefit from the tax rate. So and we also had a better pricing environment on drives than we expected, which is, which was great. We took advantage of it. I think we had a market situation that was very, very dynamic. And the team really did a good job of managing through that and getting the most out of that we possibly could. So it was a very dynamic quarter. And also, we're still managing through COVID, which is, there's still a lot of supply chain issues we're working through. I mean, we've been working through these for a long time now and we're very good at managing that. But there is still some risk out there because of that. And so we want to be prudent around the whole business, but we feel good about where we're at. We're very happy with the quarter. Like I said, I think we got the most out of a good situation and really, really driven by strong demand on the cloud and bringing innovation to market. I mean, I think that's the way I think about this. We brought energy-assist to market. We've been talking about it for many quarters now. We've been giving a lot of visibility into the -- to the qualification process, because it is new technology that's been worked on for a very, very long time. And I think our customers are responding very strongly to that and we saw that in the results and the sequential capacity enterprise, exabyte shipments of 49% to really a record level. So we feel really good about where the portfolio is at and customers are really responding to it.
Robert Eulau: So Mehdi, on gross margin, I mean, first of all, we're really pleased with the 5.2 percentage point increase we had in gross margin going from Q3 to Q4. And if you look at the guidance for Q1, it's a range of 33% to 35%. So it's at the midpoint, we're still expecting to see improving gross margin. As I mentioned a few minutes ago, we're expecting hard drive gross margin to be above 30% again and in terms of the flash side, it will obviously improve, but the mix is different each quarter. And we're going to improve our gross margins and probably don't have quite as healthy a mix, as we had in Q4. But again, still feel really good about the guidance range and I think it will deliver very good margin and very good profitability.
Operator: Thank you. Our next question comes from Wamsi Mohan from Bank of America.
Wamsi Mohan: Yes, thank you, and congrats on the really strong results. I was hoping maybe I'm sorry, if I missed this, but can you help handicap the magnitude of impact to top line and margins from the ongoing supply chain issues and the best way that possible? And also for the guide, is there a way to handicap that and Dave, you mentioned the couple of $100 million benefit in the quarter from Chia. I was wondering, do you think that that sustains at some level, as you look into your guide do you have any expectation baked in the guide as well? Thank you.
David Goeckeler: That sustains from Chia. I think we're -- Chia had a big impact on the channel and inventory and it's going to take a little while for that all to normalize. So I think you have a lingering impact there. We're certainly watching overall demand, but it's tapered off from where it was, let's say mid quarter. But clearly a space we're watching. We're watching very closely. I'll ask Bob to comment as well. So it is a little hard to handicap what you're -- I think you're asking, which is how much upside is there if we had all the components we could possibly get? I do think what we do is, with what we have, we change the mix in the portfolio to get the best we can and put the product at the best route to market, whether it's in the channel or somewhere or into retail or somewhere else where we can get the best return for that particular component. But I don't know, Bob do you have any way, not to put you on the spot, but feel free to handicap that from a numbers perspective?
Robert Eulau: No, it's really hard to say. I mean, as Dave said, I mean, particularly on that channel side, we shift a lot during the quarter. So our inventory levels are low there. If you really forced us to guess on the fourth quarter, maybe we missed out on $50 million to $100 million in revenue. But it's very hard to quantify what we would have been able to do had we had all the controllers that we wanted. And as we look at Q1, I mean, we're expecting to be able to manage through the supply chain challenges like we have for the last few quarters. And I don't really know, it's hard to quantify before we even get into the quarter what the supply issues may be, but we're going to we're going to work and it'll be a very dynamic environment and we feel good about the revenue guidance we gave.
Wamsi Mohan: Thanks, guys, if I could just quickly follow up. I was wondering just on the margin impact on the guide. Right? So clearly, there are a lot of moving pieces over here, but if you were to think about what impact COVID, Delta variant and some of the things that are happening in Asia, like how are you handicapping that in your margin impact on the guide? Thank you.
Robert Eulau: Well, certainly on the hard drive side, I'm expecting we're going to have the same logistics challenges we've had for the last year or so. So you're going to have something in the neighborhood of 1.2, 1.3 percentage points of headwind on the hard drive side. And we have to continue to work through the COVID situation from a factory perspective and supply chain perspective. And as Dave said, we've been doing it for a lot of quarters now, but the situation is not good in Asia and we need to really, really make sure we're careful in terms of how we work through that.
Wamsi Mohan: Thank you.
Operator: Thank you. The next question comes from Jim Suva from Citigroup.
James Suva: Thank you very much. With NAND pricing going higher spot and contract and such, can you talk to us a little bit about your leverage or flow through the operating margins, because I believe your costs should keep coming lower. Shipping costs, while high it's hard to see them getting worse in the next few months ahead. So may be if you can walk us through the model and normally you have annual price declines with ASPs going higher. Is there more investments needed or more fixit things or talk to us about the flow through or what we consider operating margin leverage.
David Goeckeler: We have a lot of operating leverage in our model and I think you saw that come into play this quarter. I mean, I think it was a really impressive improvement in terms of gross margin sequentially and a lot of what we saw on the pricing side did flow through. I mean, as we said, we saw a lot of demand on the channel driven by Chia in most cases, but across the board, we saw a good environment. And I think the team did a good job of reacting dynamically and trying to properly price the products as we went through the quarter. So we're going to continue to do that same kind of thing as we move forward and we are going to see cost takedowns. We had very good cost takedowns in Q4 on both the hard drive side and on the flash side, and as we keep price flat or even increase price, then that's obviously going to only help in terms of operating leverage.
James Suva: Thank you.
Operator: Thank you. Our next question comes from Patrick Ho from Stifel.
Patrick Ho: Thank you very much. Dave, in terms of the activity you're doing with cloud and hyperscale and the pickup you're seeing there, can you talk about any qualitatively new customer wins whether it's cloud, hyperscale or data centers with the new 18-terabyte drives? Can you please qualitatively talk about the adoption rate and whether you're seeing greater adoption from existing customers who are transitioning or even new customers that weren't previously on your mass capacity storage drives?
David Goeckeler: Yes, at this point I think it's where they're at in the architectural evolution of their data center of how they're adopting the technology as far as qualification. So first of all, I mean, if you're building a cloud, you're most likely our customer. Hard drives are the lion's share of storage in the cloud. But we're seeing wide adoption, I guess, is the only way I can say it. I mean, it's our customers, different customers, will be at different part, different stages of their architectural evolution, some are going to 18 as fast as they can. Some are working through a 14 transition, let's say in the second half of the year, and then will move to 18. Some are going through 16. So at this point it is just a question of how they're all transitioning their data centers. Again, we saw really strong growth throughout the quarter and as Bob said, it's nearly half of our exabyte ship capacity, enterprise exabyte shipments were on 18. So we feel really good about where the product is and like I said, the innovation of energy-assist has been fully commercialized and has been well received by our customers.
Patrick Ho: Great, thank you very much.
David Goeckeler: Sure thing.
Operator: Thank you. Our next question comes from Harlan Sur from JPMorgan.
Harlan Sur: Good afternoon. Thanks for taking my question. In addition to the SSD controller shortages, we've heard of tight HDD controller and preamp chip supply as your ASIC semiconductor partners are pretty constrained and lead times are pretty stretched. And so, if the team had more HDD controller and preamp supply, would you be able to ship more HDDs here in the September quarter or is more of the HDD shipment constraints in September being driven by other component constraints or media and head manufacturing or just potential pandemic related operations disruptions.
Robert Eulau: Harlan, it is Bob. We're basically running at full capacity in the September quarter on the hard drive side, so it's not easy to get the parts and that's definitely true. But in the September quarter, I don't see it as a big factor. We'll see how that plays out as we get to the December quarter and beyond.
David Goeckeler: Yes, Harlan, I was going to say same thing. I mean, we've got folks in the factories working overtime and to get every drive we can out I mean the team is obviously balancing the supply chain issues to get all the components we need, but we've got that covered in September. And so keeping again we're -- these are in places where COVID is a big deal and we've been really good about managing through that, but something got our eye on, but we're really pushing very hard to get all the components we can all the drives, we can.
Harlan Sur: I appreciate the insights. Thank you.
David Goeckeler: Sure thing.
Robert Eulau: Thank you.
Operator: The next question comes from Tom O'Malley from Barclays.
Thomas O'Malley: Hey, guys, thanks for taking my question. I just want to circle about a comment you made earlier, you said that Chia had a big impact on the channel. I'm looking at inventory. Inventory days are flat on a dollars basis, down on a days basis. Can you kind of comment on the mix of inventory? I would assume with some of the HDD activity you saw during the quarter the channel has kind of been wound down a bit. Is there any color you can give on the mix of businesses within the inventory that you have this quarter?
David Goeckeler: Yes, in terms of our inventory and the turns around quite a bit on the hard drive side and I'd say relatively flat, maybe even slightly worse on the flash side and that see you all going through a nodal transition, it's not a big surprise there. So and the flow-through as you saw was up significantly during the quarter.
Thomas O'Malley: Thanks, Guys.
David Goeckeler: Sure, thank you.
Operator: Thank you. The next question comes from Sidney Ho from Deutsche Bank.
Sidney Ho: Great, thanks for taking my question. My question is on capital intensity. Can you talk about gross CapEx for fiscal 22 being $3.1 billion and that would be roughly 15% of fiscal first quarter revenue run rate. Is that the right capital intensity we should be thinking about, maybe you can comment on both HDD and NAND, that would be great? And what kind of assumptions are you expecting in terms of bit growth coming out of the main financial things? Thanks.
David Goeckeler: Yes so a few questions in there. So first of all in terms of CapEx we exited FY 2021 around $3 billion in growth CapEx and that's what we're expecting again in FY 2022. We are well on our way in terms of the ramp on BiCS5 and in terms of the capital investment, and we will have to obviously continue to invest in both businesses. We've got two growing businesses and they are going to require capital going forward. On the hard drive side, we're at the point where we can no longer transition the assets from the client side of the business to the capacity enterprise business. And so that means we have to be pretty cautious in terms of investments we make. That's part of why we've done some of these long term agreements and we're going to continue to be very careful in terms of capacity we've put in place. And on the flash side, the goal as we've been saying is to really grow bits at the rate that the market is growing and we think over the long-term we will be able to do that.
Sidney Ho: Okay, thanks.
David Goeckeler: Sure, thank you.
Operator: Thank you. The next question comes from Shannon Cross from Cross Research.
Shannon Cross: Thank you very much. I had maybe a bigger picture question. I'm just wondering how you are thinking about the inflationary environment? Are you hearing from many customers that there's some pushback because of less demand given price increases? And then just internally, how are you thinking about managing higher cost and not necessarily next quarter, but just in general as we face more inflation? Thank you.
David Goeckeler: Yes, it's a good question Shannon. And we are definitely facing inflationary pressures across the board and we've talked about the semiconductor components already on this call, and we're seeing lead times extend out. We're seeing challenges on the cost side as well. And we're going to -- we think we're going to face that across a number of different commodities. And also the discussion we need to have with our customers as well, and I think most of them are also facing inflationary pressures. So it's not something that you can work out in a single quarter, but I think over time we've got to make sure we're getting obviously an adequate return on investments we're making from a CapEx standpoint and the costs that we have in each of the products.
Shannon Cross: Okay, thank you.
David Goeckeler: Sure.
Operator: Thank you. Our next question comes from Nik Todorov from Longbow Research.
Nikolay Todorov: Yes, good afternoon guys and congrats on great results from me as well.
David Goeckeler: Thank you.
Nikolay Todorov: Dave, I think, can you hear me?
David Goeckeler: Oh yes, please go ahead.
Nikolay Todorov: Yes, yes, you talked about more customers looking for upside on the NAND side in the September quarter and it sounds like you are pretty constrained. But if I look at your guide it implies at best a modest low single digit NAND ASP increase. I wonder why you are not able to get better pricing leverage on the NAND? I think you talked about mix changing in the September quarter, if that's the big driver can you please give us more detail, how do you see the mix shifting on the NAND? Is there any lumpiness in the enterprise as the mix in the September quarter? Thanks.
David Goeckeler: Yes, no, I think you got it. I mean, again we're running a portfolio across the four or five major pillars; enterprises, SSD, mobile, consumer and anchor the portfolio client SSD and then of course positions in gaming, IoT, automotive, but every quarter the mix is going to be different across that. And obviously the pricing is changing as different rates across those markets. We're clearly trying to shift as much as we can into the higher margin markets, but every quarter the mix is going to be a little bit different. And depending on what our commitments are, we have commitments to customers as to how much we're going to supply in any given quarter. So when you put that all together, the mix is a little different in Q1, and I think that's where you've got some of the difference coming from in the way you're thinking about it.
Nikolay Todorov: Got it, thanks. Good luck, guys.
David Goeckeler: Thank you.
Operator: The next question comes from Ananda Baruah from Loop Capital.
Ananda Baruah: Hey, thanks for taking the questions guys and congrats on the strong results. I guess it's really -- the question really is around the margins and structural margins on both sides of the business. Do you think over time structurally the margins can move higher from here, and what would be sort of the pushes and pulls or sort of the dynamics, like what would things have to look like, would have to get done on both sides of the business for that to happen and kind of structurally higher, meaningfully, nice, nicely and structurally higher? Thanks a lot.
David Goeckeler: So I think the answer to that is, I don’t think the answer to that is yes. Let's go through each business. On the drive side we saw a big step up this quarter driven by a number of things. We've been talking about the 18-terabyte capacity point is much better for us for a number of quarters now and we saw that play out. We obviously got some benefit from Chi as well, but predominantly innovation led story from my perspective, but we believe this business inside our company needs to be more profitable. We've talked about it several times on this call. We're now looking at this transition from client capacity to capacity enterprise, nearliner enterprise drives that is -- that era is coming to an end. It's been a long one. It's been -- it's taken a decade to go through that transition, but when we look at the exabyte growth going forward that's going to take investment and we want that investment to be fully justified. So and again it's no surprise to me that now we're talking about these more longer-term agreements and again were early days in those, but those are the conversations with customers. I remember when I came in this business, whatever five quarters ago, everything was transacted on a quarterly or even within the quarter basis and now we're moving to -- in parts of the business multi-quarter basis and I think that will continue because we need more visibility into demand to make sure we can continue to fuel the growth of the cloud. I think the cloud is incredible technology. The seminal technology of our era as I talk -- as I like to say and continuing to fuel the growth there is very important and 35% exabyte growth is going to take investments and I think that's going to take, we're going to want to see the internals of our business be able to support that. And on the flash side we're going to, just one financial comment on that. We're also continuing to innovate in hard drives and drive cost down as well. I think we think about cost down is more in the flash business, but we also continue to drive in the drive business, so we have that dynamic working as well. And on flash, we all know about how dynamic the pricing environment is. We feel very good about our technology roadmap, we've talked about that. We're at the transition point to BiCS5. We feel good about that node as we transition to that over the next couple of quarters. We will see our bit growth accelerate and that that foundational investment with Kioxia I think puts us in a very good position to have the technology roadmap, just structurally support margins in the business. Yes, clearly a better pricing environment as we're seeing helps margins in that business. We expect it to be better next quarter, that's the way we're guiding. And as we looked even beyond the second half and we look into next year, we continue to see a strong demand environment that's getting out there pretty far, but from what our customers are telling us telling us of what they think the demand is going to be for their products. Like I said we are more technology dependent than ever. We continue to hear good things about what they're going be asking for next year. So structurally we think with the technology, with the innovation we're driving in both portfolios, that puts us in a good position to continue to drive profitability in these businesses.
Ananda Baruah: That's helpful. Yes, thanks a lot, I appreciate that.
Operator: Thank you. Our next question comes from Srini Pajjuri from SMBC Nikko Securities America
Srini Pajjuri: Thank you. David, on the enterprise SSD front, I think you said it grew 39% quarter-on-quarter, obviously very strong quarter. Just curious if it's driven primarily by end demand and if there were new customer ramps as well? And also if you could talk about if there was any contribution from Chia on the SSD side as well? I think will be helpful. Thank you.
David Goeckeler: Yes, the first one just quickly, very minimal contribution from Chia in the enterprise SSD market. Yes, we are happy with the sequential growth of the products, and we did complete a qualification at another cloud Titan, which is something we've had eyes on for a while and we've talked about. We haven't started ramping there yet, but we'll see that in the second half of the year. We also saw good demand in the channel on enterprise SSD. So we qualified with one of the very big players and we see continued growth there. We're seeing good acceptance in the channel and growth there and now we're layering in additional major customers as we go into the second half of the year. So we feel good about how the product is being accepted again. Lot of innovation in our products. We've being talking about that for many quarters, again giving visibility to the qualification process, and now we're well into the ramp and feel good about where we're at and where it's going and how it's being accepted by our customers.
Srini Pajjuri: Thanks David.
Operator: Thank you. Our next question comes from Mark Miller from The Benchmark Company.
Mark Miller: Just was wondering the SSD space, do you feel you are picking up share?
David Goeckeler: I suspect we're picking up share as we grow, so I don’t think the market grew sequentially 39%. Again, we're focused on profitable share gains, but this has been a focus for us to get that product introduced. It's a very attractive market and get it qualified in as many places as we can. But we're going to continue driving for growth quarter over quarter.
Mark Miller: Thank you.
Operator: Thank you. And the last question comes from Tristan Gerra from Baird.
Tristan Gerra: Hi good afternoon. You've given some puts and takes about gross margin criteria for hard disk drive. How should we look at the potential for gross margin longer term? You have mentioned you are already at full capacity. Can you go higher given new customer mix and given the purchasing power that some of your large data center customers have without cover to expenses is a longer term 35% in your outlook possible and if you could just provide a bit more color on what you think are the catalysts going forward?
David Goeckeler: Yes, I mean as we -- I think as we've talked about, we're in this period in the hard drive business where it's been transitioning for a long time from a business that was client dominated to a business that is cloud dominated is I guess one way to think about it. And if we look at the utilization of our factories, you can see that very clearly, year-over-year the percentage of drives there were headed for the cloud versus the ones that are headed for clients has been steadily shifting over a decade and now we're at the point where we're looking at investments both in  and also when you build a bigger driver it takes longer to test, all those kinds of things, testing, capacity in the factory. So yes, as we go through those conversations, it's really important to understand from our customers what their growth is going to be. We see 30% to 35% exabyte growth in the cloud for the foreseeable future. We want to make sure that they see that same amount. And as we align on that growth and we invest in our business to support it, I think that's where this idea of long-term agreements come in place and to help drive the profitability for the business. We think the innovation is delivering, I mean it starts with delivering a product that is very, solves the customers problem and we're delivering a very strong TCO model with every generation of this product that we build. We're driving a lot of innovation. You know we talked about it here with energy-assist which is something that we've been working on for quite some time. And quite frankly it's a good accomplishment for the team, a great accomplishment. It feels good to take something that was an idea many, many years ago, and now turn it into something where the largest customers in the world are betting their business and their data center on that innovation. And so to continue to fuel that innovation engine we've got we got many, many innovations lined up to continue to drive the portfolio and making sure we can invest in that and meet the growth of our customers. Getting the economics of that right is very important.
Tristan Gerra: Great, thanks for the additional color.
David Goeckeler: Sure, thanks. Thank you. All right everybody thanks for your time today. We really appreciate it. We will be seeing you throughout the quarter. Thanks very much.
Robert Eulau: Yes, thanks everybody.
Operator: Thank you, ladies and gentlemen. This concludes today's conference. Thank you for participating. You may now disconnect.